Executives: Marty Tullio - Managing Partner, McCloud Communications LLC Lee Hamre - President and Chief Executive Officer Tracie Hannick - Chief Financial Officer
Operator: Good day and welcome to the AmeraMex International Shareholder Update Conference Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Marty Tullio. Please go ahead.
Marty Tullio: Good morning from California. Before we begin today’s call, I’d like to share with you that the statements made in this conference call that relate to future financial results, markets, growth plans or performance are forward-looking, and involve certain risks and uncertainties associated with the demand for products and services, and developments of markets for the company’s products and services. Actual results, events, and performance may differ materially. Conference call participants are cautioned not to place undue reliance on these forward-looking statements which speaks only as of the date of this conference call. AmeraMex undertakes no obligation to release publicly the results or any revisions to these forward-looking statements that may be made to reflect events or circumstances after the date hereof or to reflect the occurrence of unanticipated events. I’d now like to turn the call over to AmeraMex CEO, Lee Hamre. Good morning, Lee.
Lee Hamre: Good morning, Marty, and good morning, everybody on the line. First, I want to apologize for having a cold. I’ve been sick since I got home from Africa last week and I am getting a lot better. So if I have to take a quick break to cough or sneeze, you’ll understand what’s going on. Thanks for joining us. We appreciate your participation in our 2014 year-end shareholders update conference. We got a pretty good list of people here. It’s nice to see. With me today are all the board members, Mike Maloney, our Chief Operating Officer; Marty Tullio, the Secretary; our CFO, Tracie Hannick is with us; and myself, Lee Hamre. Before we provide a project update and address the shareholder questions, I’d like Tracie to discuss the financial section of 2014 year-end news release and provide an update to the company’s capital structure.
Tracie Hannick: Good morning, everyone. Before I begin, I’d like to say that I am pleased to extend the work that I’ve been doing with AmeraMex over the past five years. After reviewing the accounting system installation and spending time with the accounting staff, I feel that a full-time CFO is not currently required. As the company grows, when it becomes SEC reporting company, a CFO with public company experience may be necessary. Let’s move on to the subject at hand, the 2014 year-end financials. I would like to add that all of the numbers discussed today are approximate amount. As announced earlier this month, revenues for the period ending December 31, 2014, were $7.3 million, a 24% increase when compared to the 2013 year-end revenue of $5.9 million. Gross profit for the year increased 46%, a significant amount for any company. This increase is due in part to product mix and for having the capital to take advantage of buying opportunities within the used equipment market. Net income for the year increased 75% over the comparable 2013 period. Product mix revenue and used equipment especially sold to the ports within the U.S. and Central America, and they get significant difference to the bottom line. As we are so close to announcing the first quarter, I would like to provide the approximate number in today’s conference call. Revenue for the first quarter is approximately $936,000. Gross profit for the quarter is approximately $563,000, and net income for the quarter is approximately $25,000. We will issue news release pertaining to the first quarter within the SEC guidelines of 45 days from the end of the quarter. Management has announced about our shared structure. We have $1 billion shares approved with 664.9 million shares issued and outstanding as of December 31, 2014, of which 430.1 million are restricted with approximately 85% of the restricted stock held by AmeraMex employees, management, and directors of the company. The close is estimated at 234.8 million shares. I would now like to turn the call back to Lee to provide a project update.
Lee Hamre: Okay, I’m back. I did just return from Africa. Everybody was pretty much aware. I’ve talked with a lot of you on the phone that I was headed back over for a meeting. And on that trip several days ago was actually maybe 10, 12 days ago now, I met with the General Director of Ecobank, which is the largest bank in the region in Niger. They’re actually based in, I believe, they are based in Togo is their main office, Lomé Togo. But part of the problem for the truck field we have been working on for so long has been the ability of the bank to take on a deal for so many dollars. We were working with two or three smaller banks, all of them combining didn’t have enough net worth to carry this project and supply the bank guarantees that we needed to do the funding from the U.S. side. Now that we have Ecobank on Board. I had dinner with General Director, which would be President here. He was very excited. The Minister of Transportation was at diner with us also. The Minister of Transportation and the President of the bank, both agreed to do this project together. They agreed to do it with AmeraMex. They are in the process of writing a contract between AmeraMex and the bank and the Minister of Transportation now. The way things go on Africa, this could take a few weeks, I hope not, because I’m anxious to get known on it, but this is a major breakthrough. They have a bank that has the power and strength to do this deal on the African side willing to do the bank guarantees. So now that we’re over that hurdle. The next and last big hurdle, of course, is the U.S. financing, which is based on the letter of credit and bank guarantees that we get from Ecobank. After the contract is in place, we’ll sign the contract and we submit the signed contract to the funding sources I’ve been talking to in the U.S. I have three possible sources, and I’m pretty confident or totally complemented, one, I mean, we’ll be willing to take the time out. In addition, we did announce before that we lowered the amount per tranche, that was another problem for the banks and another thing was delaying the project, hence the country of Nigeria is probably the poorest country in Africa, and the country didn’t have enough credit to guarantee 300 trucks per shipment. So we’ve reduced that to 100 trucks per shipment for approximately $12 million. And that will as those trucks get delivered and the bank get some finance to the end-users in - on Niger, then that freeze up the credit line that we have in place for the $12 million and we can rollover and order an additional 100 trucks and trailers and keep doing that. It should theoretically happen every two months, although with our history and how fast everything gets done over there, we might be looking at three or four months between tranches. So I’m saying to and I would like to seek to, but I don’t control that. Once the American Funding Organization approves the Ecobank contract, the deal is basically done, and the trucks begin shipping within 45 days. With the approval from the American funding source, we put up a 15% deposit on the first order of trucks and they go into production. Please let me remind you that until the American Funding Organization gives me the final approval and sees the contract, we don’t have a deal done yet. I’m doing everything possible. I’m working on it diligently and headed back to Africa in 10 more days, and it’s a very tiring schedule, but I’m on it, and I will get everything done than I can. It’s been a long process, but large deals are never easy. Doing your first large deal on Africa has presented us many opportunities that couldn’t be expected until all participants from the government to the public companies involved in a project, the three banks providing bank guarantees in the funding were all involved. I have met a lot of people. We’ve got other projects started that came directly out of these relationships one of which I actually flew to LA yesterday. I met with a major construction company owner from Molly, which is just North of Nigeria. He is looking to buy about 40 to 45 pieces of heavy equipment for two construction projects that he is working on. We came highly recommended by our local representative in Niger. He also talked to our local representative in Senegal, and we got a raving good guy from him. And so he flew to LA, met me there, and he placed an order yesterday for four machines on a trial basis. It’s about a $400,000, $410,000 deal. This deal we have an opportunity to show him. We know what we’re doing, and we can supply good quality equipment at a fair price. When this stuff arrives over there, he will do the next tranche of equipment, which would probably be about 20 machines. It will be in the $5 million to $5 million range. The third set of equipment would be next fall. So that the equipment is all paving equipment and the project is ready for the roads to be paved. At that time there would be another $4 million to $5 million in paving equipment. So it was an excellent opportunity when I met the man and we get a long time. We have the first order in process. He’s expecting me to invoice him next week, and he will be via transferring the funds. He has not borrowed from anybody anywhere, he is just going to pay, which is something new for African and AmeraMex. So some of the other projects that we’re working on in Africa, the pipeline of projects is really large, it’s over 400 million of different things that we’re working on. A lot of we’ve mentioned in the past, the Niger military project, it coincidentally the same President of Ecobank has been put in-charge of the financing for the Niger military, and now that we become acquainted and we’re e-mailing with each other. This project will warm up again too. Right now, Niger is basically at war with the militants in Northern Nigeria protecting their broader. So the people that are in the position of making decisions are kind of busy, but we don’t expect that to last too long and the president of the bank is on board with it and going on this project as soon as things calm down a little bit. I’m going to say we’re going to 6 to 12 months and we’ll be putting that package together. We’ve submitted a proposal for the country of Senegal for a solar power plant. And also a hydro power plant. The combination of the two will be generating somewhere in the neighborhood of 100 megawatts of power. We have a contractor here in the U.S., that can build both of these plants that would be doing the work. Thermex [ph] will put the project together, and the contractor would buy all the required equipment from AmeraMex. So our participation is supplying all the equipment. We would be included in the contract and have a small percentage for bringing everybody together out of the main contract also. I’d like to add that in the past five years I have been working with the gentleman, Grant Gauthier. He has been to Africa with me about 20 times. He is now working here at AmeraMex full time. He is moved out from Wisconsin and is here in Chico. He is handling as my sales and project manager for all the African projects keeping everything organized. When we finish the truck deal and we get ready to ship the first shipment. He will be moving to Africa and he’ll live there the majority of the time to manage receiving the trucks and getting them distributed to the right places. So nothing goes haywire on us. I’ve been talking recently an announcement of our core business. I’d like to now discuss our core business. The core business is heavy equipment in the U.S. and container handling equipment in the U.S., and exporting of used container handling equipment in the Americas. We’re still refurbishing equipment here. We have stuff that’s scheduled for shipment, which we’ll be announcing as we do that. And the projects - oh, I didn’t quite finish on my - yesterday that bought the four machines that’s for our water project. They’re putting in water lines in Guinea and they needed more digging power. So these were excavators and backhoes, is what he bought yesterday. He also has for the other equipment I said he was preparing to buy if everything goes right, the project he is doing for that is construction of 5,000 lower income houses in Mali that they have buyers for all of them. So that’s where that 20 or 30 machines will go. Currently, our pipeline for core business is approximately $8 million. That’s not closed business now. That’s the pipeline of projects that I feel we have a real good chance of closing. The last item I’d like to address before turning the call back to the operator for questions is the SEC audit. We’ve discussed it several items in the past. Not have any audit completed is disappointing and I based our updates to the shareholders on information provided by our auditing firm and CFO at the time, those were the experts. I got to remind you that over the course for the last five years, we’ve had five CFOs as it is so difficult for a small company like AmeraMex to attract and retain a good CFO in Chico. To date the company paid over $60,000 in auditing fees to an auditing company that was working on the behalf of our CFO at the time and they never supplied us with an audit of any kind. After paying $60,000 they decided to tell us that they couldn’t do an audit for us, and that was that. So in the future for us to do an audit we’ve decided, the board, that we will have the money to pay for the audit, we will have a guarantee that the audit will be completed and we will be ready here for the audit and that’s what Tracie’s working on very diligently. She is converting our books over to QuickBooks which is easier to understand and everybody can keep up better, will be auditable with QuickBooks as soon as we possibly can. I can’t tell you what date that would be but we’re working in that direction. Tracie has informed me that our accounting system has not yet been fully installed and that she’s continuing to work with the accounting staff on the successful installation. I’d like to add that since our year-end conference call is coinciding with the close of the first quarter as Tracie said, we’ll not have a conference call when we announced the final funding. We will have our next conference call when we announce the final funding of the Niger agreement for the trucks or the end of the second quarter whichever happens to come first. We do appreciate you, our shareholders, and wanting you to know that we are working to accomplish our goal of increasing shareholder value. With that said we would like to begin the question-and-answer session on today’s call. Operator, would you like to begin the Q&A
Operator: [Operator Instructions] And we’ll take our first question from Mike Nervo, [ph] a private investor.
Unidentified Analyst: Hello, Mr. Hamre, how are you?
Lee Hamre: I’m doing fine.
Unidentified Analyst: Good. Congratulations on all the achievements this past 3, 4 months and the Niger large truck deal seems like it’s - you’re obviously you are still working on it, trying to get stuff done as someone it’s just listening to the conference call. Seems like it’s about the same spot as we was in the last conference call, even though you get the bank dealing with…
Lee Hamre: We have a bank now that can handle the load and that was the key thing to get to the next step. So now we are way beyond where we were. We have somebody that can do it.
Unidentified Analyst: Okay, okay, fantastic. Now the new deal that you were talking about, that seems like a done deal, what, three or four pieces of equipment then the larger done once they receive that. That seems like a done deal. Are you going to PR that soon or will you wait until they receive all the equipment or what’s the story on that?
Lee Hamre: Well, I’m not sure what you’re asking. We’re going to invoice next week for the four machines. They will ship by the end of next week or the first of the following week. We’ll be paid next week. It will be wire-transfer fund. After they arrive there and they’re satisfied with the quality of the equipment and everything works out the way we know it will then they’re ready to order more machines.
Unidentified Analyst: Okay, well, so will you put out a press release concerning that?
Lee Hamre: Absolutely, anything that big, you bet we’re going to put out a press release.
Unidentified Analyst: Transit time is about three to four weeks on the ocean. So once we have full payment and we make shipment, we’re a month out from arrival. I’m going to have to give them another two to three weeks to get it hauled to the jobsite and get the chance to run the equipment a little bit. I will go over and make sure they don’t have any questions or problems and that will be the next step. So we’re looking at probably two months from now will be the soonest they’d be ready to place that next order. And then the paving equipment, the final order from that company would be in fall, which is the best because that’s when paving equipment comes up for sale in this industry. Right now, every paver on the face of the planet is paving.
Unidentified Analyst: Okay. Now, in the local business here in the Chico area, I am in Lodi, 50 miles from you right now, will you see a summer pick-up, or did it slow down a little bit in the winter, will we see a regional pick-up in the summer months?
Lee Hamre: If we get any orders at all it’s a pick-up. The economy sucks in Northern California. There is nothing going on except being huge union companies doing big highway jobs. Other than that there is virtually no construction happening.
Unidentified Analyst: Okay. So well, we’re looking forward to some orders and having something go on. The accounting issue with getting current with the SEC, I know you told us some stuff. And I don’t know too much about it. But is there like an attorney letter that you can send to the OTC Market that will go along with your annual report that will make it any upgraded in the OTC Market with your stock symbol?
Lee Hamre: Tracie will answer that for you.
Tracie Hannick: We are in the process of working with an attorney right now on that letter and getting it issued. We’ve been speaking with him and getting him the information necessary.
Unidentified Analyst: Okay. And what upgrade in the OTC Market tier would you receive once the letter is received and all that? How long will that take?
Tracie Hannick: The yield sign will go away on the site.
Unidentified Analyst: Okay. And…
Lee Hamre: On pay sheets there is a yield sign that comes up, which means we’re not fully reporting. But once that’s in between where we are now and being fully reporting is to remove that yield sign and that’s what requires the letter you’re talking about.
Unidentified Analyst: Right. And when do you think that will happen, the yield sign coming down?
Lee Hamre: We’re working on it now.
Unidentified Analyst: Okay.
Lee Hamre: We’re working on it now and if we supply all the right equipment or the information the lawyer will write the letter. So Marty thinks 60 days probably.
Unidentified Analyst: Okay. Good, good, so maybe before the next quarterly conference call. Do you ever receive - are there institutional investors in AmeraMex stock? I mean, I’m just a guy living in Sacramento and in Northeast Oregon, but are there institutions that - mutual funds, do they ever call or express any interest in purchasing a larger block of stock?
Marty Tullio: Yes, Mike, we do get calls periodically. This is Marty Tullio. The thing that’s holding institutional investors back is the fact that we are not still - we’re not reporting to the SEC and there are compliance issues with most of these funds unless that - unless you’re reporting they just won’t invest in you.
Unidentified Analyst: Exactly.
Marty Tullio: Now, there are - pardon?
Unidentified Analyst: Yes, exactly. That’s why as a small investor, that’s why I brought it up on the last conference call that - and I think I talked to corporate headquarters a couple of times. That’s why I in particular view that getting current with the SEC is so important.
Marty Tullio: Well, we all do. All of us are shareholders in the company. It certainly increases the value of our stock tremendously. It also creates volume. It also creates analyst reports. It also creates a more stable investment base. So we are so excited about getting on - reporting to the SEC as our shareholders are, as we are shareholders.
Unidentified Analyst: Okay.
Marty Tullio: Thank you.
Unidentified Analyst: Well, thank you for all your hard work. That’s about it and hopefully we got some more investors that are waiting with questions. Thank you, Mr. Hamre, and all the hard work that you’re putting into it and your scheduling and everything. You might touch on the local workers. I know you’re on Facebook. You advertise a little bit for - you’re looking for the truck haulers and people that can work on equipment. Can you touch on any employment issues you might have trying to find skilled workers and that will be it for me? Thank you very much.
Lee Hamre: That’s always tough. Yes, it’s always tough. We have found one mechanic and hired him. And we have one truck driver that it looks like we’ll probably be able to make a deal with next week to get another truck moving. As always difficult, good people are hard to find. So, next question.
Operator: We’ll take our next question from Robert Morris [ph], also a private investor.
Unidentified Analyst: Well, I was going to ask you a question about the OTC market’s attorney letter, but that’s been addressed. And I guess, we can move on from there. I was concerned about that and I have no further questions other than that. I think Mike touched on that and your answer was already given. So we’ll move on to somebody else, I guess.
Lee Hamre: All right, thank you.
Operator: We’ll take our next question from Brian Lukie, [ph] a private investor.
Unidentified Analyst: Hi, Lee. Also thank you guys for everything you all have been doing. We know you’re working hard over there and it is going to pay off and we all have faith in you. The question that I have is that you brought in something that’s new to me that I wasn’t aware of it, but that’s you’re going to have to have a U.S. bank approve the loan or get some financing going. And so I need some - give me some thoughts on that. And with the lending environment going the way it is in the United States right now for such larger deals, what’s your feeling on that and tell me how difficult you think this is going to be to get achieved?
Lee Hamre: Well, it’s not a bank that we’d be dealing with. We’d be dealing with probably a hedge fund.
Unidentified Analyst: Okay.
Lee Hamre: What happens is, well, we don’t have what’s called an SBLC, which is a Standby Letter of Credit from the Ecobank Group in Niger. And that would be confirmed by their European partner bank which means it is irrevocable, confirmed letter of credit. SB meaning standby, which we can partially draw down on a monthly basis until it’s paid off. And that guaranteed from Africa with the confirmation makes it the same as cash. So the bank doesn’t have the cash available to loan for all the trucks unless they’re sold to somebody. So the loan that we’ll be getting from this side will be the financed buying and shipping the trucks and getting them to Niger. Once they arrive in Niger, Ecobank would start selling the trucks to local contractors on five-year contracts, some on four, some on three. And they’d start making payments to Ecobank. As the contract gets signed by the end contractor Ecobank would pay off that much of the SBLC. And they have right now about 250 to 260 buyers for these new trucks already confident a bit to get them. So the first hundred will sell quite quickly and we’ll be rolling that over to the second hundred trucks as soon they’re sold. So all we’re supplying money for from this side is the carrying costs to get the machines built, transported to Niger and sold.
Unidentified Analyst: That sounds a lot better than what I heard initially, that sounds good. I have a couple of other questions. First of all, they’re - we’ve been reading from international reports about or loose stories about of a bank called SonaBank over there and they’re doing a huge deal with European Union and so their African partners on transportation vehicles, all kinds of stuff going on. And this is not part of that, what you’re doing in with Niger with the transportation trucks and stuff?
Lee Hamre: While, the deal I’m doing is with the Minister of Transportation in Niger. SonaBank is one of the banks that we had on our list wanted to do this project with us. But they are not big enough to carry that load. They can’t supply an SBLC large enough for us to use them. So the end result is Ecobank is big enough. Ecobank is going to let SonaBank and the other little banks finance as many of the trucks as they want to, they would make their deal with Ecobank and Ecobank will make the deal with us.
Unidentified Analyst: Okay. So Ecobank was the key there.
Lee Hamre: An absolute key, I mean, that opened the door.
Unidentified Analyst: Yes, right, right, okay. All right, that’s all I had to...
Lee Hamre: In the past, he worked for several months with releases as I said much longer than I expected. We were waiting for letters from the bank and confirmation of this and that, and we have a signed contract. A year ago, this made next month with the Ministry of Transportation, because I met him in China, he signed the contract. We toured the factory, where the trucks are going to be manufactured. And he wanted trucks to start coming in 30 days at that time. While we proceeded to get letters from the bank, so the bank was one of them, and they were the first one to step up and say, they’d be willing to do it. But when I came down to the nut-cutting you couldn’t. They had no power. They couldn’t afford to put out the SBLC we needed. So that was one of the big delays. Ecobank is big enough and they’re not may not versus not in Niger. It took several months to get Ecobank to say, yes, we want to do this project. And the first time I got that response from the President of Ecobank was 10 days ago, when I was in Niger, and having dinner with him and the Ministry of Transportation.
Unidentified Analyst: Right. Okay, that sounds very good. Now, if you didn’t say anything about that repairs, if you talk about opening up over there in Niger, after the truck deal gets going, is that still on track, is that something you all been looking at, that company from [indiscernible] providing with all of the parts?
Lee Hamre: Yes, that’s a separate. That is a separate contract to do the repair center. I did find a place that we can buy and setup our service center and put parts and inventory. Although it’s not going to happen until I have the truck deal is done, because unless I have the truck deal done, I wouldn’t commit $0.50 to buying a place to have a service center. So I’m doing everything I can to be ready to do that, although we’re not going to tax on it until we have the trucks on order. We’ll have 45 days after we order the trucks to figure out exactly what we’re going to do for a service center. The manufacturer in China has offered to inventory the parts we need up to about $3 million at no cost or when we reorder and sell them. So we can get into a service center relatively quickly.
Unidentified Analyst: Okay, that sounds good. I have one more question, I’d love you to just touch a little bit more about your employees that you have spread out around the globe, and or whoever we have contacts, whoever you consider people that are working on to your benefit - AmeraMex’s benefit, you have a representative in Mexico, who has got some sales recently, and that you got a couple of posted at Niger that are on the ground. Are they providing instrumental hope for you, can you expand on that a little bit more throughout?
Lee Hamre: Absolutely. All of my representatives are in foreign countries are on a straight commission basis based on performance. So we’re not paying them to do anything. They’re getting paid as they perform on that. So the guy we use in Niger in Niamey, his name is Sulleman [ph]. He is going to get his first paycheck. When we close this deal next week or the equipment going over there, and he has been working roughly two years. So they are dedicated, they are putting their hard into it, and they know it’s their only opportunity to get out of the lifestyle that they have.
Unidentified Analyst: Right. Okay, it sounds good. Whatever happen to the - there was a woman, she was a, I don’t know, royalty or something coming over to visit you in California back in February maybe and did that help pull through or what happened with that?
Lee Hamre: That’s the first lady…
Unidentified Analyst: First lady, okay.
Lee Hamre: The President of Niger’s wife is the first lady. She hasn’t been back to the U.S. yet. We are still working on that, okay. We volunteered to help with some expenses for her foundation. And I put some money aside for that and let her know that we had it set up. But we haven’t sent any yet, which is put aside, and about when she’s ready to import some medical equipment that was donated to the Nigerian government is when we will be helping with the transportation cost rather than send any money to a foundation in Africa. I’ve been at this long enough to know that what I told her I would do was assist with the freight. And my connections with the shipping companies, I can get a major discount on the freight, I’ll pay the freight direct, I’m not sending any money to anybody in Africa on the come that they are going to go do something, that’s going to give us any credibility with the first lady. So…
Unidentified Analyst: All right.
Lee Hamre: So far nothing has been done. It will be done and she will be coming over after it’s done.
Unidentified Analyst: Okay. All right. Thank you so much. I appreciate it.
Lee Hamre: All right. Thank you. You bet.
Operator: [Operator Instructions] At this time, oops, I apologize.
Lee Hamre: Okay.
Operator: We have additional questions entered the queue. We’ll take our next question from Gary McNelley, [ph] a private investor.
Unidentified Analyst: Hi, there.
Lee Hamre: Hello, Gary.
Unidentified Analyst: Hey, there, Lee, good work team. I like the call, very good. I’m kind of a new to all this stuff, particularly the financing part of it, and I recall our China - the back of China been involved in this at one time, are they still involved?
Lee Hamre: It’s a Chinese manufacturer that we’re dealing with and the government owns the manufacturer, they own the banks, they own everything over there. So, yes, they’re potentially involved. But they’ve got - they are going to have to compete with the other sources that I’ve been talking to, and we will go with the best possible source.
Unidentified Analyst: Okay, it sounds good. Great job you guys. Thanks very much.
Lee Hamre: You bet. Thank you.
Unidentified Analyst: All right. Bye-bye.
Operator: We’ll take our next question from Joseph Smith, [ph] a private investor.
Unidentified Analyst: Hi, Lee.
Lee Hamre: Good morning, Joseph.
Unidentified Analyst: Hey, I’m calling from Niagara Falls. I heard you say that the economy in California sucks. Well, the construction New York State have super surplus and right in our area the governor has promised Buffalo billions to be spent in infrastructure and in economic development. So I invite you to come over here and set up a shop and take care, support domestic programs. But given that I have a question that might be rather pedestrian, but it has been asked any number of investors. You’d said that you had five CFOs during the past five years. We find it difficult to understand why a company with the potential of stock, which I choose as a great, why you would be having a hard time keeping CFOs? Do you have any comments?
Lee Hamre: Well, sure. The kind of CFO that we would like to see in here will be a salary that we can afford to pay right now. So to get a full-time CFO, yes, I’d love to do it, and tried it. The last one was mostly stock and little cash, it didn’t work out to everybody’s benefit. So that’s just what happens. We don’t have a big pool of potential CFOs or SEC experienced and qualified. So when we are ready to put on a full-time CFO and we can justify the salary then we’ll probably be looking in Southern California or the San Francisco area or somewhere else with a headhunter, and we’ll have to move amid here on a contract. And if that becomes a reality, there will be a contract and they will live up to their side of the contract.
Unidentified Analyst: All right. Talking about stock price, you alluded to the potential. It must have been about at least five years ago that the stock was up around $5. Do you have any projection or any inclination as to how soon is that we will ever get into the dollars based on the projects that you have got gone, or is that something that is so speculative at this time that you can’t comment?
Lee Hamre: Well, that would be speculative and it’d be looking into the future. All I can do from my point-of-view - I mean, if you guys all buying those stock, I’m sure it will go up soon, as simple as that as we got to make it look good enough and attractive enough. And honestly on the pay sheets there’s probably a small percentage of companies that have the activity we have and have an actual cash flow of the size we have with profits. I don’t look at a lot of them, but I did when we were starting this out and I would say we’re one of a small percentage.
Unidentified Analyst: I agree with you. Perhaps some more diligent PRs and getting the word out might help. Going…
Lee Hamre: Tell your friends.
Unidentified Analyst: Going back to the last CC, you had mentioned back then that you had some sort of railroad project then something else going on potential with Russia. Given the Ukraine problem with Russia at the present time, is that all past, say that’s all gone now, any backdoor entrees into Russian projects with you or with Niger?
Lee Hamre: Well, I’m not doing anything in Russia right now. I don’t intend to. Vladimir Putin is a very dangerous man. I don’t want to be around him. I don’t want to be around what he is doing. I do like to come home when I make a trip out of the country and I would be a little afraid that I might not. Some of Africa is bad enough.
Unidentified Analyst: Well, he always spoke well of you. Listen, thank you very much and I appreciate your time. You guys - you’re keep plugging away because I have a lot riding on your success. Thank you again.
Unidentified Company Representative: Don’t say. You bet. Thank you.
Operator: We will take our next question from Mathew Davis, a private investor.
Unidentified Analyst: Good afternoon, Lee. Just wanted to congratulate you guys. It sounds like this Niger deal is closing now unless I misheard something there. Can you briefly touch on - I know you covered in depth, but I wanted to make sure I’m clear. Can you touch on the remaining final - I think there’s two points that needs to be done, before we could start shipping trucks actually. So can you touch on exactly what’s left? I know you did cover, but there was a lot of information there, if you can do that for me.
Lee Hamre: Yes, we have an agreement now with Ecobank. They are putting together a contract. I all have to go over and sign. And once that contract is signed I have an official document already from the Ministry of Transportation that it’s signed. And I will have a contract from the bank that’s going to take care of the funding. When I have both of those items to take to the funding source in the U.S. it’s just approval from them and to get started and that’s really all it will take. So they’re - I have had enough discussions with them with the right contract and the right signed documents. It won’t be a difficult project. And I have to have that paperwork, which I didn’t have and actually I have, I will have shortly, the contract with the bank soon as they produce that and we can go to the next step. But that was the biggest stumbling with getting something from the bank.
Unidentified Analyst: All right. And it sounds like, you’re waiting on that item from the bank or you have that item from the bank? I’m sorry, if I’m unclear there.
Lee Hamre: He told me he was going to produce that contract, when I was with him at dinner about ten days ago.
Unidentified Analyst: All right, and I’m sure you’ll help us out with your press release that items when it happens.
Lee Hamre: Absolutely.
Unidentified Analyst: It sounds like that’s the big items in there. All right, it sounds great. It sounds like this is going to close. I appreciate your time. Thank you.
Lee Hamre: Okay. Thank you. That concludes today’s question-and-answer session. At this time, I will turn the conference back to management for any additional or closing remarks.
Lee Hamre: Okay. Well, closing remarks. I guess that’s all we got to do. I appreciate everybody’s call and I appreciate all the questions. In summary, our goal is to increase the stock value. We’ll try to make decisions that are best for the company now and in the future. I’d like to thank all you for participating today. And for your continued support and we look forward to speaking with you, when the first quarter financials are released or when the contract shows up from Niger. Something major like that, we’ll do another call in. If it’s just the first quarter release, since they’re so close we probably won’t do a call in. So the end of the second quarter will be the longest that’s going to be before we do this again. I appreciate your questions and thank you, everybody, very much for participating.
Operator: That concludes today’s presentation. Thank you for your participation.